Operator: Thank you. Good morning. Welcome to the Myers Industries' third quarter 2015 earnings conference call. I'm Monica Vinay. Joining me today are John Orr, President and Chief Executive Officer; Gregg Branning, Senior Vice President, Chief Financial Officer and Corporate Secretary; Joel Grant, Senior Vice President and General Manager, Material Handling Segment; Alex Williamson, Vice President and General Manager, Distribution Segment; and Mike Valentino, Vice President and General Manager of Myers do Brasil, Novel, Scepter, and Ameri-Kart. Earlier this morning, we issued a news release outlining the financial results for the third quarter of 2015. If you have not yet received a copy of the release, you can access that on our website at www.myersindustries.com under the Investor Relations tab. This call is also being webcast on our website and will be archived there along with a transcript of the call shortly after this event. Before I turn the call over to management for remarks, I would like to remind you that we may make some forward-looking statements during the course of this call. These comments are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are based on management's current expectations, and involve risks, uncertainties and other factors which may cause results to differ materially from those expressed or implied in these statements. Further information concerning these risks and uncertainties and other factors, is set forth in the company's periodic SEC filings, and maybe found in the company's 10-K filings. Greg Branning will being our call today with an overview of the financial quarterly performance. John Orr will then discuss our fourth quarter full-year and 2016 outlook. After that, we will open it up for questions. I am now pleased to turn the call over to Greg Branning.
Greggory Branning: Thanks, Monica, and good morning, everyone. Please turn to Slide 3 of the presentation. Net sales from continuing operations in the third quarter of 2015, decreased 12.6% to $141.7 million, compared to $162.1 million in the third quarter of 2014. Excluding the impact of foreign exchange to end-markets, currency fluctuations in the previously disclosed customer acceleration of orders that occurred in the second quarter. A decrease in farm income is driven by a sharp decline in crop revenues, remains a major driver of the weaker demand we've seen in the agricultural end-markets. Gross profit margin from continuing operations was 29.4% in the third quarter of 2015, compared to 24.7% in the third quarter of 2014, an increase of 470 basis points. The increase in gross margin compared to the third quarter of last year was due mostly to strategic pricing actions and our continued organizational focus on operational cost reduction activities. Selling, general and administrative expenses, as reported from continuing operations in the third quarter of 2015, were $39.1 million compared to $42.6 million in the third quarter of 2014. The year-over-year decline in expenses was primarily due to $3 million of transaction cost in the third quarter of 2014 related to the acquisition of Scepter and a $3 million accrual for a patent infringement lawsuit. These reductions were partially offset by an environmental reserve of $1.3 million that was recorded in the third quarter of 2015 as a result of notification by the EPA, that Buckhorn is considered a potentially responsible party in connection with the New Idria Mercury Mine site and the acceleration of stock compensation expense of $1.4 million related to employees that will be or are over 65 years of age in the current year. As we mentioned in the earnings release, the acceleration of stock compensation expense resulted in a $0.03 reduction to earnings per share in the quarter. All of the items noted above with the exception of the stock compensation expense, were excluded from the calculation of adjusted earnings per share and continuing operations in the year in which they were incurred. In addition, we do not anticipate the additional stock compensation expense we recorded in the third quarter of 2015 to repeat in 2016. Net interest expense in the third quarter of 2015 was $1.7 million compared to $2.6 million in the third quarter of 2014. The decrease year-over-year was due to interest income which was recorded on a note receivable resulting from the sale of the Lawn & Garden business as well as lower average debt balance during the third quarter of 2015 compared to the third quarter of 2014. Our effective tax rate for continuing operations was 25.7% for the third quarter of 2015. We continue to anticipate that the effective tax rate from continuing operations for the full-year of 2015 will be approximately 32.5%. Reported income from continuing operations for the third quarter was $600,000 or $0.02 per diluted share, compared to a loss of $3.6 million or $0.11 per diluted share loss in the third quarter of 2014. On an adjusted basis, which excludes restructuring cost and other special items, our earnings per diluted share from continuing operations in the third quarter of 2015, increased to $0.09 compared to $0.07 in the third quarter of 2014. Now, please turn to Slide 4 of the presentation. Cash flow provided by continuing operations for the nine months ended September 30, 2015 was $7.1 million compared to cash flow used for continuing operations of $2.8 million for the same period in 2014. Cash flow provided by continuing operations increased compared to the nine months ended September 30, 2014 primarily as a result of the higher earnings. Capital expenditures for continuing operations totaled $17.7 million for the nine months ended September 30, 2015, compared to $10.9 million for the same period last year. We continue to estimate the capital expenditures from continuing operations in 2015 to be approximately $25 million to $30 million and approximately 70% will be used for new products, growth and productivity projects. Free cash flow, which is defined as cash flow provided by or used for operating activity for continuing operations minus capital expenditures, is also estimated to be between $25 million and $30 million for 2015. We purchased 848,586 shares of our common stock during the third quarter at an average price of $14.18 and a total cost of $12 million. Approximately 3.2 million shares were available for repurchase at September 30, 2015, under the company's current Board authorization. We will continue to remain both opportunistic and balanced in our terms of capital allocation priorities, as witnessed this period by our dividend, share repurchase efforts and organic investment in new products in an effort to maximize long-term shareholder value, as we look forward. Now let's turn to our business segments and their performance as summarized on Slide 5 and 6 of the presentation. Results are compared to the same period in 2014, and I will be referencing the adjusted pre-tax income information by segment as it appears on the reconciliation of non-GAAP financial measures included in the appendix of the slide presentation and in the earnings release issued earlier today. In Material Handling segment, net sales in the third quarter of 2015 decreased 17.6% to $92.5 million compared to $112.3 million in the third quarter of 2014. Excluding currency fluctuations, the decrease in net sales year-over-year was 10.9%. The decline in net sales was primarily the result of decreased sales in the agricultural end-market due to lower demand, the customer acceleration of approximately $5 million of orders that took place in the second quarter and currency fluctuations. As Scepter was acquired in July 2014, and we now have owned the business for five quarters, we will not be speaking to the results for the third quarter of 2015, as it is part of our Material Handling segment. I can tell you, we continue to be very pleased with the acquisition of Scepter and the contributions it has made to the Myers business and our earnings. Adjusted income before taxes in the Material Handling segment increased to $8.6 million for the third quarter of 2015 compared to $8.3 million in the third quarter of 2014, despite the lower sales year-over-year. The increase in adjusted income before taxes was due mostly through reductions in labor and overhead costs and pricing actions. Net sales in the Distribution segment were $49.2 million in the third quarter of 2015, compared to $49.9 million in the third quarter of 2014. The slight decline in sales as compared to the third quarter of last year was a result of decreased demand in some of the segment's geographic markets, partially due to a stronger U.S. dollar. Adjusted income before taxes in the Distribution segment increased to $5.7 million in the third quarter of 2015, compared to $4.3 million in the third quarter of 2014, despite the slightly lower sales. We used operating costs and lower selling, general and administrative expenses led to the 32.6% increase in adjusted income before taxes year-over-year. That concludes the financial review. I'll now turn the call over to John for some outlook remarks. Thank you.
John Orr: Thanks, Gregg, and good morning, everyone. Please turn to Slide 7 of the presentation. As we mentioned in the earnings release, headwinds from the challenged agricultural end-market are expected to continue during the fourth quarter. However, we are encouraged by a planned increase in orders from one of our larger customers and look forward to the prospect of a better 2016 in the Ag markets we serve. During the third quarter of 2015, we saw a stronger sales to the food processing and automotive end-markets in our Material Handling segment. That trend has continued during the fourth quarter. Based on our order book and customer conversations to-date, we also expect it to continue throughout 2016. Specifically, in the automotive end-market, you will likely recall as new vehicle platforms are launched, we typically see increased container orders as producers tool up for the new launches. It looks as though there will be a very high level of launches in 2016. We also expect to see increased sales from recent and upcoming new product and service introductions. These should continue to accelerate over the next few quarters. Examples of these include: the reintroduction of some of our legacy material handling products, which we began in the third quarter of 2015; new product introductions by Scepter of the trigger control and vented high flow gas cans; the continuation of maintenance and cleaning services of bulk boxes by Buckhorn Services and the continued introduction of a vending machine program for new and existing customers in our Distribution segment. We believe that these sales trends and activities combined with continued cost reductions and strategic pricing actions will lead to improved year-over-year profitability during the fourth quarter of 2015 and for the full-year of 2016, and will enable the company to deliver increased profitability and shareholder value over the long-term. In closing, I'd like to quickly update our investors on the CEO search process. There have been a number of very highly qualified candidates identified and vetted by the independent directors. The process of narrowing down candidates continues and I am confident that the new leader of Myers Industries will be on the job by the time I retire at the end of the year. As this is my last earnings call, I do have a few additional comments that I'd like to make. First off, I'd like to thank our shareholders for their long-term support. Now, we've got quite a few long-term shareholders and I'm talking about 10 years and beyond. I certainly appreciate the support from the counsel and the guidance over the years that I've received from our shareholders. From our analysts, I always felt that you've treated us very fair. You've been very helpful to us, and for that, I thank you for your support over the years. To our Board members, I've been lucky that over the 10 years as CEO, I worked with 17 very highly qualified and very capable Board members. They've been very [indiscernible] . To my team, I feel that I've worked with the best team I've ever had. I've got to say that the women and men that report directly to me, as well as the reports to those folks are the best group of people that I've ever worked with. Their dedication on a daily basis, and that includes Saturdays and Sundays, is just unparalleled in my experiences over the years. They are a great bunch of people. I wish them the best of luck and I can tell you that they are working as hard as they possibly can to make Myers a better company. Finally, I'd like to say that this business, the Myers Industries business, is a great company. I've been the CEO for 10 years. I've been with the company for 15 years, and after 28 years at Goodyear, as I wrap up a 43-year career, I have to say that I feel very good about Myers Industries and the future prospects for the company. We've worked very hard to get our business into two operating segments. At one point, we had five segments and it was very difficult to focus on what we needed to do. I think we're now at the crossroads, we're at a point where that focus is paramount and I'm confident that the new leader that the Board has selected will bring that new leadership and strength to make this business continue to grow and to improve and to return shareholder value. I would like to note that this year alone in 2015, our income from continuing operations, adjusted income per diluted share I should say, is up 25.6% over last year. I realize that in today's world, we tend to look at short-termism, we look at 90-day results, but I think Myers is a small company, and it's a company that has a long-range growth program. You have to look at Myers as a long-term operation. I think given that opportunity, it makes for an investment that we'll be well worthwhile in the future. So with that, I'd like to turn it back over to Monica, and we'll be happy to take your questions. Thank you.
Monica Vinay: Thank you, John. The operator will now direct the Q&A phase of the presentation. As a reminder, in addition to John and Gregg, the following segment vice presidents are also available to answer questions: Joel Grant, Senior Vice President and General Manager, Material Handling segment; Mike Valentino, Vice President and General Manager, Myers do Brasil, Novel, Scepter, and Ameri-Kart; and Alex Williamson, Vice President and General Manager of the Distribution segment. Go ahead please, Gary.
Operator: Thank you. We would now be conducting a question-and-answer session. [Operator Instructions] . One moment please, while we poll for questions. The first question comes from Chris Manuel with Wells Fargo. Please go ahead.
Chris Manuel: Good morning, and congratulations, John, and best wishes for whatever you end up deciding to do as you move forward.
John Orr: Thank you.
Chris Manuel: A couple of questions for you. First, can I start in the Material Handling segment? I appreciate you don't always like to talk about the different segments or components within there, but if I remember from a year or so ago, Scepter had got off to a slow start. And I just wanted to get a sense of perhaps is it doing – on track? So maybe, Mike, you want to answer this or....
John Orr: Mike will handle it.
Chris Manuel: How are you doing on a year-over-year basis? Are you kind of on plan with where you thought the acquisition model might be a year-plus into it?
Michael Valentino: Sure. Good morning, Chris. How are you?
Chris Manuel: Good. Thank you.
Michael Valentino: As Gregg mentioned in our opening remarks, now that we've owned Scepter for over a year, we're not going to specifically comment on the results, but I will say this. They're ahead of our acquisition model. They're having a very solid year in 2015. They'll be nicely accretive to our overall earnings and to Material Handling profits in 2015 and well beyond. So, I couldn't be more pleased with how that team has adapted into Myers. We're working on a lot of very good things up there that are going to help us achieve the results that I just outlined going forward. So, I'd say we're very pleased.
Chris Manuel: Okay, that's helpful. When we look at – maybe a question for Joel, as we look at some of the other pieces, number one, reconditioning of big bulk boxes, is that a relatively new business? I don't think I've heard you talk about that necessarily in the past. And then two, can you give us a sense as to what – it's been about a year since the Ag business began to fall off. What gives you confidence, you talked about some orders in, are those firm booked orders or is that anticipation of orders, and so when that might begin to turn. Are you seeing improvement there?
Joel Grant: Yes. Good morning, Chris. This is Joel. To your first question around the reconditioning, that is Buckhorn Services as a new separate corp that is going to be servicing our customers. We focused initially on the seed industry. So we're cleaning and we'll do some repair and start it off in the third quarter and proceeded very, very nicely. So that's something that brand new in the quarter and we'll continue to grow as we go forward. In the Ag market, what I can tell you is that we're seeing the activity, we've got an order book in the fourth quarter and first quarter that, for a particular customer is very encouraging over where they have been. Continue to be a lot of acres planted going forward. So we think that, it's a matter of week – we seem to have a preferred package in the market. So those things I think lead to an encouraging outlook for next year.
John Orr: Chris, this is John. I also would like to add, we obviously – Ag is a big part of our business, so we spend a lot of time studying it and analyzing what our big Ag customers are doing. And one of the things that's kind of striking is, is that there has never been a time where there has been three bad years in agriculture. And our customers really feel that, they've had two bad years, two bad planting years is the way they talk about it. So, hopefully history will not change, it will right itself. And that's another reason why we feel a little more comfortable about 2016.
Chris Manuel: Last question for Gregg. As you look at – I think you gave us some guidance and thank you for some help with respect to how free cash flow might look this year. But could we talk about perhaps what the puts and takes might be headed into 2016? And I appreciate you're not that far maybe along in the rolling the whole budget together for 2016 yet, but as we think about the various moving parts, it sounds like we should see some improvement in the Material Handling business, particularly the Ag side, it sounds like you have a lot of new products coming as well. Do you still need to keep CapEx up at a level? Could we see free cash flow potentially $5 million, $10 million above where you are this year, next year?
Greggory Branning: Yes, Chris. Certainly we expect next year, as a whole, to be better starting with our earnings. We expect to be up just as we're up this year. And so, that will help our cash flow from operations. Our CapEx, you're right, it is early in the process. We haven't gone through our budgeting cycle and where we fully expect to be. So I think the $25 million to $30 million is a fair starting point, although I would guess that given some of the projects that we've worked on this year, we'll probably be more at the lower end of that range, but, I'm going to hedge my bets given that we haven't rolled everything up yet. But we would fully expect, as we've communicated in the past, our goal is to continue to improve free cash flow year-over-year consistently. And so, we would expect to be better next year than we were this year.
Chris Manuel: Okay. Thank you. Good luck in the quarter.
Greggory Branning: Thanks, Chris.
Operator: The next question comes from Adam Josephson with KeyBanc. Please go ahead.
Marc Solecitto: Hi. Good morning. This is Marc Solecitto on for Adam. The first question I had is regarding distribution margins. They were up nicely in the quarter on reduced costs. Should we look at 11% margins in that business as sustainable or whether there's some one-time items that we should be aware of?
Alex Williamson: This is Alex. We're currently anticipating that operating income will continue to grow by mid-double digits compared to 2014. This is partially as a result of new product and service introductions, which generate those higher margins and leads to a more favorable product mix. So, operating – as you noted, operating income as a percentage of sales in Q3 did reach double-digits and we plan to maintain that going forward.
Marc Solecitto: Okay, great. Thanks. And then last question I had was regarding your industrial end-markets. Have you seen any deterioration in your U.S. manufacturing end-markets, and if so, where?
Joel Grant: Hi, Mark. This is Joel Grant. I've been talking and looking at the major markets in Material Handling, certainly the automotive is a bright spot. Automotive is forecasted to be up 6% to 7% through this year and into next year. Manufacturing in general kind of has bounced around a bit during the year, this year, probably is headed towards year-end. Manufacturing outside of automotive is probably flat to down a little bit. Food processing, again, continues to look promising. And we had good performance in the third quarter from those markets and will in the fourth quarter as well.
Greggory Branning: Mark, this is Gregg. I would add to that that the key is when you look at the markets that we serve in Material Handling, like Joel mentioned, we serve Ag; we serve automotive; we serve manufacturing; we serve food processing, bakery, a lot of different things. While we have – I think the market has seen some softness in the manufacturing industry as a whole as what's coming out of these earnings calls this quarter, we don't expect that to have any significant play-off at this point next year. As Joel mentioned, as we mentioned in our prepared remarks, automotive we expect to be up nicely next year. And then, as you factor in the new products that we're launching in Scepter, in the other parts of our Material Handling business and Alex's business, we expect to do well.
Marc Solecitto: Got it. Thanks.
Operator: The next question comes from Matthew Paige with Gabelli & Company. Please go ahead.
Matthew Paige: Hey, good morning. Thanks for taking my call. Congratulations again to you, John.
John Orr: Thank you.
Matthew Paige: So, you've been fairly acquisitive in the past. Could you just speak to what you're seeing in your acquisition pipeline and how you view the acquisition landscape as a whole?
John Orr: Well, currently, we're not actively soliciting acquisitions. We still have a balanced approach to capital allocation. And at this point, we see paying down debt and returning value to shareholders is our most important priority. Obviously, with the new CEO coming in, that could change, but I'm confident that Myers will not change from the balanced approach to capital allocation. So at this point, there is really nothing in the pipeline that we see.
Matthew Paige: Great. Thanks. I'll pass the line.
Operator: There are no further questions at this time. I would like to turn the floor back over to Monica Vinay for any closing comments.
Monica Vinay: Thank you. We thank all of you for your interest in Myers Industries and your time and participation today. As a reminder, a transcript of this call will be available on our website within approximately 24 hours. A replay will also be available via webcast or call. Details can be found on the Myers Industries' website under the Investor Relations tab. Thanks for joining us and have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.